Executives: Björn Scheib - Director and Head of Investor Relations Dieter E. Zetsche - Chairman of the Board of Management and Head of Mercedes-Benz Cars Wolfgang Bernhard - Member of Management Board and Head of Daimler Trucks Division Bodo K. Uebber - Head of Finance & Controlling - Daimler Financial Services and Member of Management Board
Analysts: Arndt Alexander Ellinghorst - ISI Group Inc., Research Division Jose M. Asumendi - JP Morgan Chase & Co, Research Division Kristina Church - Barclays Capital, Research Division Adam Hull - Berenberg, Research Division Charles Winston - Redburn Partners LLP, Research Division Laura I. Lembke - Morgan Stanley, Research Division Philippe Houchois - UBS Investment Bank, Research Division Horst Schneider - HSBC, Research Division Stuart Pearson - Exane BNP Paribas, Research Division Philip Watkins - Citigroup Inc, Research Division Stephen Reitman - Societe Generale Cross Asset Research Jochen Gehrke - Deutsche Bank AG, Research Division Max Warburton - Sanford C. Bernstein & Co., LLC., Research Division Frank Biller - Landesbank Baden-Wurttemberg, Research Division Michael Raab - Kepler Cheuvreux, Research Division Christian Breitsprecher - Macquarie Research Michael Punzet - DZ Bank AG, Research Division Stefan Burgstaller - Goldman Sachs Group Inc., Research Division
Björn Scheib: Okay, so good morning from Stuttgart. This is Bjorn Scheib speaking. On behalf of Daimler, I would like to welcome you here in Stuttgart, as well as on the Internet for our full year investors and analysts conference. We are glad to have you here today and in, overall, a very warm welcome, not only from my side, but I hope also from your side, to the Chairman of the Board of Management and Head of the Mercedes-Benz Passenger Cars, Dr. Dieter Zetsche; our CFO, Bodo Uebber; and the Head of the Daimler Trucks, Dr. Wolfgang Bernhard. Yesterday, at the end of press conference, Dr. Zetsche and Bodo Uebber presented our financial figures, as well as our strategy in detail. These features, as well as the charts, are available on our corporate website. Therefore, today, we will begin the conference with a short introduction by Dr. Zetsche, and this gives us all maximum time for Q&A afterwards. I would remind you that this Investor Conference is governed by the Safe Harbor wording that you can find on our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current view with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date of which they are made. Please be aware that this conference will be recorded and broadcasted on our website. Now I would like to hand over to Dr. Zetsche.
Dieter E. Zetsche: Thanks, Bjorn. Good morning, ladies and gentlemen, and welcome to our Analyst and Investor Conference. I'll begin with a short review of the last 12 months, then I'll briefly outline our next strategic steps and I'll end with our outlook for 2014. Before we get started, I'll say a few words on the latest change in the Daimler Board of Management. As you know, Andreas Renschler left our company for personal reasons last week. I respect his decision. He had many important accomplishments at Daimler. We thank him and wish him the best for the future. Markus Schaefer has taken over responsibility for the manufacturing and procurement for Mercedes-Benz Cars. He's highly experienced and a proven expert. I'm certain he'll do a great job, and with that, let's turn to the review. Looking back, 2013 was a year that did not begin very well for us, but did end very successfully. Let me summarize the key highlights. The sales results achieved by Mercedes-Benz Cars were a highlight in every sense of the word. We sold more cars in 2013 than in any year before. Total sales were approximately 1.57 million units or 8% more than in 2012, which was also a good year. In retail, the growth was even 10%. In an overall challenging market environment, our truck sales rose by 5% to 484,000 units, giving us our best sales since 2006. In terms of market share, we not only retained our top position in many countries and regions, but also improved on it, in some cases, under difficult market conditions. This success was in large part due to our decision to systematically adopt new approaches in many markets, while launching new products and utilizing new technologies. We are now seeing the benefits of this strategy. Let me give you one example. Mercedes-Benz is currently the fastest-growing premium brand, thanks not least to our new compact vehicles. We sold more than 380,000 A, B and CLA-Class vehicles in 2013, an increase of 66% over the prior year. As planned, our new compacts enabled us to attract many, new, younger customers, on average, 1 of every 2 buyers of our new compacts in Europe previously owned a car from a different brand. Of course, we also continue to build on our traditional strength, the new S-Class reinforces our clear claim to leadership. This vehicle is the touchstone of our brand promise, the best or nothing. Our sales figures show that our customers are convinced the new S-Class keeps this promise more than ever. That applies to the design of our flagship model and, most of all, to the vehicle's technology. That's why the S-Class remains the best-selling luxury sedan in the world even in the year of the model change. For Mercedes-Benz Trucks, the Euro VI Emission Standard was the most important issue in 2013. The standard went into effect in January 2014, a month before we had already become the first truck manufacturer in Europe to make or enter a product range Euro VI-compliant. Nearly half of the new Actros vehicles sold in Europe in 2013 were delivered as Euro VI versions. In Germany, there was a full 3 out of 4. And for good reason, normally, the use of the exhaust treatment technology increases fuel consumption, but we managed to reduce emissions and save fuel at the same time. As a result, we offer our customers the best total cost of ownership in the truck sector. Ultimately, that is the business rationale that sells trucks. Now let's turn to China where we took important steps forward. At the beginning of the year, we merged our sales companies for imported and locally manufactured cars into one single organization. We added 75 dealerships in 2013. Over the course of the year, we launched 7 additional Mercedes models, which have made our range of products much more attractive to Chinese customers. We began manufacturing 4- and 6-cylinder engines in Beijing at our first car engine plant outside of Germany. These measures have already yielded positive results. Our sales in China increased by 15% in 2013 even as we scaled back incentives for our new cars. In November, we acquired a 12% interest in BAIC Motor, our long-term partner. We are the first foreign car manufacturer ever to acquire shares in a Chinese OEM. This move will allow us to establish an even larger foothold in this important growth market. Next, I'll quickly run through our key financials of 2013. I assume you have already digested the numbers so I'll keep it brief. Group revenue increased by 3% to EUR 118 billion. Excluding FX effects, the increase amounted to 7%. EBIT from ongoing business was EUR 7.9 billion, close to the previous year's level reported was EUR 10.8 billion. Free cash flow of the industrial business came in at EUR 4.8 billion resulting from higher earnings and the EADS transaction. Even without the M&A-related topics, free cash flow significantly exceeded the previous year's. Industrial free cash flow was also positively affected by reporting date factors in the amount of up to EUR 1.5 billion, which will reverse in the course of 2014. For example, these include sales tax payments, as well as payments of dealer provisions. Benefiting from the industrial free cash flow, net liquidity of industrial business increased to a comfortable level of EUR 13.8 billion. Earnings per share increased to EUR 6.40. We will propose a dividend of EUR 2.25, which reflects our good performance in 2013 and our positive outlook on 2014. So much for numbers. Bottom line is, they show things are going well at Daimler. More importantly, as we intend to stay on the ball, things will go even better because we have laid the groundwork for building on our success in the coming years. Our products are in demand, our efficiency programs are paying off and our investments are bearing fruit. Considering everything we've got planned for 2014, I'm confident that we will continue to pick up the pace. First proof point, retail sales of Mercedes-Benz went up by 15% in January. Of course, we are not operating in a vacuum. There are global trends at work that affect everyone, for example, continued volatility in the global economy, the shifting of growth to emerging markets and electric mobility and digitalization. Coupled with government regulations, these developments are creating a series of challenges, but they also open up opportunities. Our response to these trends, as illustrated in our 4 strategic growth areas which are crucial to the strategies of all of our divisions were: strengthening our core business; we are growing in new markets; we are developing leading technologies; and finally, we are exploiting the opportunities offered by decreasing digitalization -- increasing, of course. Let me highlight a couple of points here. First, we're keeping a sharp focus on our core business. To this end, we will move ahead with our product offensives in all divisions. In passenger cars, in particular, we plan to expand our product range across all segments. Let's go through each of the segments, starting with our compacts. In March, we will launch the GLA. This model will allow us to further accelerate the pace in the fast-growing compact SUV segment. Following the tremendous success of the A 45 and the CLA 45, we will offer the GLA in an AMG version as well. Finally, this November, we will see the launch of the updated B-Class. Our volume segment highlight this year will be the new C-Class. In mid-March, this new sedan will hit the European market. Station wagon will follow in fall. The new C-Class exemplifies many of the things we set out to accomplish within the framework of our car product strategy. You've already seen the new C-Class. Today, you will get the chance to drive it. After that, you'll know why we are so confident in this car. Having reworked the core members of the E-Class family last year, we are going to move further ahead in October. That's when the family will be joined by the new generation CLS Coupe and CLS Shooting Brake. We are further expanding our S-Class family to 6 models, making our flagship CLS lineup more extensive than ever before. The S-Class Coupé will celebrate its world premiere in Geneva in March. One more model will debut before the end of this year. And we have plans for a new vehicle in the sports car segment. I can't spoil all the details yet, but trust me, it's going to be one amazing car and it will be a beautiful reminder of the fact that Mercedes was born on the racetrack. For smart, 2014 is a very special year. We will push our brand for urban mobility with a completely new lineup. In July, we will start taking orders. Deliveries will begin in the fourth quarter. Now let's turn from our smallest cars to our largest trucks. We've accomplished a great deal in terms of products at Daimler Trucks. Our portfolio around the globe is the biggest and most powerful truck fleet in our history. Still, we are moving ahead with our next projects. We will roll out the Euro VI product family this year with new extreme-duty tractors for the Actros and Arocs series. We will revise our product range in Brazil, and we'll upgrade our Fuso Super Great truck in Japan. As you can see, our product offensives continue to advance. More importantly, they insure our sales momentum will remain high over the next few years. But we are not growing at any price. We're also making good progress with efficiency programs we put in place in all of our divisions. A central element of Mercedes-Benz 2020 is the efficiency program Fit; for Leadership. For 2013, our goal was to realize 30% of our total targeted cost savings. In the final tally, we realized EUR 800 million of efficiency improvements, so we significantly overachieved the target. In 2014, we will keep up the good work. By the end of the year, we expect to have implemented initiatives in the value of EUR 2 billion. For this year, we expect an EBIT effect of 70% to 80%. The full EBIT effect will be realized in 2015 and, of course, ongoing. At trucks, the program Daimler Trucks #1 comprises both additional business activities and cost saving measures. In 2013, we realized EUR 500 million of EBIT improvements. For example, we made significant progress in reducing material and fixed costs. Our target is to implement initiatives in the value of EUR 1.6 billion until the end of 2014. This year, we intend to realize an EBIT effect of 70% to 80% of the total program volume, which will be fully effective in 2015. In addition to short-term improvements, our long-term measures are now taking hold. The further development of our business model is, of course, not something we just started yesterday. Our initial changes are already taking form, step-by-step. Take passenger cars, for example, here, we've put in place what we call strategic target corridors. These corridors lead toward our goals in all relevant areas and will keep us on track for sustainable profitable growth. Now what does that mean in specifics? First example, vehicle derivatives. Through our module and architecture strategy and the better use of our existing production facilities, we're aiming to reduce cost per model in the double-digit percent range and to increase our speed. That in turn helps us in the next area, flexibility. Production has to be able to breathe. It has to have variations in volume of 30%, up or down. To that end, we've set out to build more vehicle models per assembly line and to distribute more model tiers over more production locations. The poster child for this flexibility is our new C-Class. Of course, modules, architectures and flexibility are also critical measures in our commercial vehicle business. The same goes for the third example of customer dedication. With customer dedication, we organize the entire company more strongly along the business lines. This gives our people in sales the opportunity to respond even more quickly and in more highly-tailored manner to the needs of their respective customers. This brings me to our second strategic growth area, namely, our plans for new sales markets in 2014. To put it simply, we positioned Daimler even more broadly along the entire value chain and in all divisions. In China, for example, we plan to boost our sales and, above all, the profitability of our operations. Our new C-Class is precisely the right product for underscoring our premium climb in China. The CLA is coming to China in 2014 as well, and it will be followed by the GLA, which will be locally manufactured. Plus, we will add about 100 new outlets to our dealership network in 2014. Naturally, we will offer appropriate financial services for our vehicles in China. The latest figures show that we either lease or finance 1 of every 5 Mercedes vehicles in China. All these steps will have an effect on sales as early as 2014, and this impact will be even greater in 2015 and the years that follow. January was a good start at Mercedes. Our retail sales in China, including Hong Kong, increased by 45%. Or take the example of India. We increased our car sales in India by almost 1/3 last year despite difficulties in the Indian market, and we plan to post further growth this year as well. We also want to build on our success in the Indian truck market. Immediately after the launch of our Indian truck models, BharatBenz took over fourth place in the segment for medium- and heavy-duty trucks in India. However, India is more than just a sales market for us. It's also an export hub, one that we plan to use to enter new sales markets in Asia and Africa with our Fuso brand. Back in May, we began manufacturing 5 Fuso truck models at our BharatBenz plant. We have already launched the products in a couple of markets. More countries will follow this year. Next, let's look at our third strategic pillar, our vision of emission-free and accident-free driving. We are very well-positioned in both. Consider electric mobility, thanks to Smart, we are the market leader in battery-powered cars in Germany. We had a market share of around 30% in 2013. This year, we'll see the market launch of the B-Class Electric Drive. This vehicle can stand up to any competitor. It boasts a range of roughly 200 kilometers, generous storage space and short charging times. In short, it's got everything an electric car needs for everyday use. We've also made big progress in recent years with excellent combustion engines. More than 50 Mercedes-Benz models now emit less than 120 grams of CO2 per kilometer. This fall, we'll launch the cleanest S-Class ever, S 500 Plug-in Hybrid, which emits only 69 grams of CO2 per kilometer. The average CO2 emissions of our fleet of new cars in Europe amounted to 134 grams per kilometer last year, 6 grams less than in 2012. We'll reduce this figure to 125 grams in 2016. In the commercial vehicle sector, fuel efficiency is definitely the top priority. However, efficient engines aren't the only opportunity to cut emissions. For example, we believe that effective telematics systems also offer great potential for reducing CO2 emissions. Along with e-mobility, autonomous driving is probably the most radical change our industry will experience in the future. Our new assistance system gives us a major technological edge in this area. However, we don't just want to be the leader in the development of innovations. We also want to play a leading role in their adoption. That's why the new C-Class offers nearly all of the new assistant systems of the S-Class and E-Class. That brings me to our fourth strategic growth area, mobility services and Digital Life. To put it simply, the cars of the future will have the ability to learn. They will know the habits, wants and needs of their drivers and will be able to communicate with them. We have established the right partnerships to make this happen. Now we are gradually integrating new features into our cars in order to provide our customers with noticeable added value. We're also pursuing new sales approaches. We began marketing new cars in an online shop in December, and we are the first premium automaker to offer such resource. With regard to mobility services, we were the carsharing pioneer a few years ago. Today, we are the leader with more than 600,000 customers in 25 cities. Of course, we plan to expand car2go further. We're convinced that these types of mobility concepts offer us a great opportunity, including as a solid business case. As you can see, we've got plans and for good reason -- a lot planned for good reason. Our goal is to continue to substantially grow. At the same time, we are step-by-step getting closer to our return targets. In the medium term, just driving to achieve an average return on sales of 9% from our automobile business across all market and product cycles whereby, each division has its own return targets. Daimler Financial Services has been recording a return on equity of at least 17% since 2011, and we aim to sustain this level. Now what do we expect for 2014? After 2 years of rather weak global economic growth, there's now economic recovery in industrialized countries. We expect continued growth in worldwide demand for passenger cars in the range of 4% to 5%. The global truck market should also grow, as well as the markets for vans and buses. Against this backdrop, we anticipate significant growth in all of our vehicle business units. At Daimler Financial Services, we also expect a further climb in new business and contract volume. Based on our current market assumptions and business unit planning, we expect to significantly increase group EBIT from ongoing business in 2014. At Mercedes-Benz Cars and Daimler Trucks, we expect EBIT to be significantly above the prior year. At Daimler Buses, we expect EBIT from ongoing operations to be slightly higher than last year. In the Daimler Vans and Financial Services, we expect EBIT to remain stable. Ladies and gentlemen, I hope it has now become clear to you that we have been connecting the dots to create a coherent overall picture. Our plan is working. That said, we have no reason to sit back and relax. In fact, we have no desire to do so. The initial results for our strategy are simply making us hungry for more. That's why we continue to move forward in a disciplined way. Considering how much we still have in the pipeline for the years following 2014, I'm absolutely convinced that we will speed up our momentum even further. Thank you very much.
Björn Scheib: Thank you very much, Dr. Zetsche. Now we move on to the Q&A session. In order to keep this disciplined and also to give everybody time for questions and also to help the management to answer your questions, I would deliberately ask you to raise always 1 question. I promise or we promise you all will have time to raise all questions that you have. But please with each round, raise 1 question and then we continue. So further on, please introduce yourself with your name and the name of your organization before asking the questions. And with this, ladies and gentlemen, now you may ask your questions, please.
Björn Scheib: We'll start with Arndt.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: Yes, it's Arndt Ellinghorst from ISI Group. A couple of question, but I'll just ask one, Bjorn, I promise. Well, the 10% across the margin target for Mercedes is obviously a very demanding one. You left the year 2013 at around 7%, 8% EBIT margin at Mercedes. Can you talk about what still needs to be done to reach that level of profitability, especially across the cycle because it would imply, as you know, 12% in better times and currently, we do have actually better times than normal, I would guess. What is there that you structurally need to do to the business, bearing in mind your labor intensity is very high especially in the distribution areas? We always reference to the fact that you need about 40% more people to produce 20% fewer cars compared to BMW. What is there structurally that you think you need to do to reach that level of profitability?
Dieter E. Zetsche: When you make these calculations out of the annual report, for instance, you've got a lot of apples and pears mixed in the basket. When we compare apples with apples, that means, for instance, out of the sales system, exclude the part which is related to truck or van sales which will be much more visible according to customer dedication and then direct integration of the sales organization into the different divisions. When you adjust for these effects, you can see that or we have clear transparency that as far as productivity is concerned, in most areas of our company, we have closed the gaps. We have made major progress on the production side. On R&D, we are on even anyway. On sales, there might be another 1,000 headcount left, about that. And we are very sure that our programs we have applied and we continue to work on will not only match the improvement the competitors are realizing as well, of course, but improve fast and, thereby, close the gaps. On top of that, there are areas where we have higher added value, upstream and downstream, mainly downstream. We are looking into these areas to understand where from a profitability point of view, this is neutral or even favorable. I would, for instance, take automatic transmissions as such an area where we have very competitive cost and scale which is not beaten by anybody else. There are other areas where this does not apply. And these, of course, are areas where we have to structurally adjust to abandon potential disadvantage from these fields. All together, our productivity is in a similar range as the one of BMW and Audi with some pluses and some minuses in different areas. Overall, a limited disadvantage, still, which we will close. So coming back to your initial question, the main thrust definitely is product, so we are working with our net 0 approach on significantly increasing the value of our products as far as CO2 reduction is concerned, as far as the overall value perception to our customers. The new C-Class is a very good example for that. But we are offsetting this additional content with productivity in material costs, in our own production cost in all areas in order to improve our margins on that basis. We have the overall target of 10% over the cycle, which, of course, means then more in good times, to the different car lines and so we know what the profitability we need with these different lines and are well underway in order to close these -- or to hit these targets. Last comment, the biggest element of profitability gap remains China, you know that. We're working on that. We were in a pretty poor condition in comparison to our peers. The gap so far has grown last year in absolute numbers, but from stagnant sales, we have reignited the momentum, which is growing. We have changed many things. We're not there yet, but we see very encouraging signals that we will rebuild our former momentum and then start to catch up to our rivals in this area as well.
Björn Scheib: Jose?
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: Jose Asumendi, JPMorgan. One question in Trucks for [indiscernible], trucks in Brazil. I believe this is the region where you have the largest chance to improve the profitability of the business. So I was wondering if you could give us an update on where do we stand on the repositioning of some of the products, and how you're managing to increase the local content of the heavy trucks?
Wolfgang Bernhard: We will make throughout of this year a number of corrections in order to better meet the requirements of our customers. On the heavy trucks side, we will be able and are on the verge of putting a heavy duty engine in there that is fully localized. So with that, we will fully qualify for the FINAME program and our heavy trucks will have a much better chance to succeed in the marketplace. Secondly, we are undergoing a number of restructuring measures in Brazil, including a workforce reduction that we see succeeded in reducing a headcount of 1,000 last year, by the end of last year. We will continue to do so throughout of this year. We are in constructive talks with the local unions. And this is what we're doing on the cost side, so we're having -- our programs are working, and the vehicles and the products are being upgraded. So by the end of the day, we will have a full, very attractive product line in Brazil. Secondly, I think what's more important is what happens with respect to the marketplace and what happens with demand in Brazil. As you know, the economy has shown some signs of weakness. This is what's on the front of our minds right now when we look towards Brazil. The exchange rate has somewhat changed, and we have different numbers now. And economic growth does not seem so robust anymore. With the truck sales in Brazil, the most important thing for us is financing for our customers. Despite the fact that some of the conditions for financing have changed, there's financing still in place. The changes are -- interest rate changed, went up from 4% to 6%, and the down payment increased from 10% down payment to 20% down payment. This is not -- this is still good. This is still good conditions. Our customers -- for our customers, the most important thing that the financing is there on a reliable basis, so this is what's going on. When you ask me how does the market look like at the beginning of the year, we haven't had any administration of FINAME applications until the end of January. So until 27th of January, nothing was processed by the government. So basically, all sales in January happened in the last 3, 4 days of January, and we don't have any visibility how the market is basically moving. So it's too early to say whether demand is weakening or demand is still strong. As you know, there is hope that Brazil might get through this lull throughout the year because there are some big events happening this year in Brazil, which always spur some economic growth. Especially on the bus side, there should be ongoing activity. And construction is still there, also harvesting. You know these things better than I do, that agriculture is still going. So it is not all dark or it's not all white, it's a mixed picture and it's too early to say. But overall, I think with everything that we have put in motion especially on the product side, we will be able to get a bigger share of market. I would also like to say that our dealers are back in gear. If you notice and looked at the numbers in the months of November and December, we were back in the leadership in the marketplace with market share. We're #1 again. So this is not -- this is just a good sign that we can do it. But we have to do to be that -- a #1 on an ongoing basis, and that's what we're working on.
Björn Scheib: Kristina, and then Adam.
Kristina Church - Barclays Capital, Research Division: Kristina Church from Barclays. I just had a question around pricing, given all the additional content, particularly on the C-Class. I know you were talking about regaining some of that with efficiency savings, but are you also recapturing it through pricing through end customers?
Dieter E. Zetsche: As far as list prices are concerned, there, we will have a kind of constant level with slight increases from the comp levels. As far as discounts are concerned, we intend to make a significant reduction in this regard depending on the markets, so what levels are different. But overall, we expect pricing to improve significantly.
Adam Hull - Berenberg, Research Division: It's Adam Hull from Berenberg. Just to go back to trucks, could you just give us a bit of a feel for the pricing you're realizing on Euro VI trucks? Maybe just talk us through a little bit about how that developed sort of into late '13 and how you're seeing that now? And when you’re getting sort of the full cost back, the extra cost you're putting through? And maybe a little bit on orders, but I guess that's part of the second question on the recent orders on Euro VI.
Wolfgang Bernhard: Let's start off with pricing. So far, we've been able to realize our pricing targets. Whether that remains the same throughout the year 2014, this remains to be seen, but so far so good. And we do not intend to buy market share. So we would like to see that our margins stay intact and we push the pricing. That's something that's our -- on top of our priority. We would like to maintain our pricing levels. In terms of incoming orders, I mean, you looked at the numbers, but throughout the year 2013, European trucks were -- sales were negative. And only with the last month, we were able to lift the European markets above the 0 line, so we ended up with a slight plus, and it's only because of December. What happened basically were that a lot of our customers used the last moment and the last opportunity to get a last Euro V truck. And that basically implies that for the start of this year, we have to reckon and we have to expect lower numbers, lower order intake. This is what's going on. So our order intake in the start of this year has been, as expected, lower than last year. However, we expect that throughout this year, 2014, as we see some life in the European truck market, this slow start will be offset by regained European economic growth and also some demand following from our customers. So we believe that, in total, the weak start will be offset by a stronger second half.
Björn Scheib: Now it's Charles, then Laura and then, Philippe.
Charles Winston - Redburn Partners LLP, Research Division: Charles Winston from Redburn. I just wanted to revisit Arndt's question, if I may, and just look -- sort of ask a little bit more specifically on terms of the modularization savings. Could you perhaps give us an idea as to what savings were achieved on the MFA platform growth and then perhaps net of the content you put in there? And then perhaps sketch out how those savings might develop as MRA kicks in and we look forward? Obviously, just trying to get an understanding as to that side of the margin story what we've seen so far and how it might develop in the next couple of years.
Dieter E. Zetsche: I do not think we want to disclose these details on specific car lines. What is the case that obviously the new front wheel architecture vehicles include much more content than the previous ones, therefore, come up with very competitive CO2 levels and are perceived as very exciting cars for our customers. In the opposite direction, obviously, based on very high commonality throughout all of these vehicles and, to a high extent, with the real wheel architecture as well through the modular system, we have significant scale, which, of course, was further increased by the significant volume increase to now 380,000 units ongoing, so this year we will see higher volumes. At the same time, we had to invest into this new platform or architecture. And we expanded our capacity with Kecskemet and with additional capacity coming out of Rastatt. We added without investment or with very little investment, 60,000 units at Valmet. So all of that together, obviously, plus a very good pricing power we're having with these new vehicles, all of that together is defining the margins in comparison to the former ones. What we can say is that, first introduced models had on average lower margins than the ones which have followed and will follow, so that's another improvement we are seeing going forward. Another situation is that this year, we plan a significantly higher number in sales versus last year in the compact segment. At the same time, whatever markets I visit, I'm pleaded to provide more product, so we are very short and that's definitely should help us on the pricing side as well. So overall, I'm very satisfied with the improvement of margins for the new model line compared to the old one.
Laura I. Lembke - Morgan Stanley, Research Division: It's Laura Lembke from Morgan Stanley. I got a question around free cash flow. Obviously, you've given us relatively detailed guidance in terms of earnings growth in 2014 and obviously your longer-term targets. I was just wondering if you could give us an indication on how this is going to translate into free cash flow generation, especially in the light of the small step up that we're seeing on the CapEx side now?
Bodo K. Uebber: Well, first, just coming into 2013 cash flow development, we achieved EUR 4.8 billion. I'm very pleased with that number. When you review where we started in the year 2013 with our guidance, it was covering -- the dividend was a target and we finally overachieved this target of close, including the EADS transaction less the BAIC investment. If you divide this from the EUR 4.8 billion, even the number is again good. We have year-end effects of EUR 1.5 billion which we disclosed, which will reverse during the course of the year 2014. But all in all, we will target further in 2014 to cover the dividend with our free cash flow industry.
Philippe Houchois - UBS Investment Bank, Research Division: It's Philippe at UBS. My question is on smart. For the past 15 years, smart has pretty much been the loss center for the group. You now have a new vehicle, a new platform, new partner to run those, so probably a different cost base. I think the issue of smart was never one of price. I think the price was right, the cost base was wrong. Can you comment on how you see the cost base evolving in the smart? And also whether a strategy going forward, are you looking at smart being kind of the cost of doing business to lower the CO2 output to the group, or is it going to be a profit center? And to what extent when we look at you're targeting 10% through the cycle for MCG parties. Part of that -- smart is part of that organization. How well would part-- smart contribute or drag down that target, please?
Dieter E. Zetsche: New products of smart and, of course, I can only compare the 2-seater because the 4-seater has no current predecessor. The cost is going down, while the content and the overall performance of the cars are significantly improving. Smart was the major source for losses in their beginning years. We have made significant adjustments some, 6, 7 years ago. Since it's not relevant to our overall bottom line, the future of smart will generate profits. But at the same time, relative to our 10% margin, I think it's no surprise to you that it will dilute our margin in this regard. So that is the best answer I can give you. CO2, we -- our intention is whether we can accomplish that 100% remains to be seen, but our intention is that every vehicle, let's talk Europe first, or vehicle segment has to make its own CO2 target, which obviously, on this slope, is a different one depending on mass. But we are not planning on cross-subsidizing the one segment by the other, and it's not that easy to create a bonus on the small cars to be used, or on the larger cars either, so we are not running smart in order to be able to continue to sell S-Classes. But once again, every segment has to stand on its own. One exception from this intention is the electric smart which, of course, provides credits, especially in the NDS[ph], which cannot be compensated but by other things than 0 emission vehicles, and that's, of course, than if you want a subsidy, if you want to call it that way.
Björn Scheib: Now it's Horst and Stuart.
Horst Schneider - HSBC, Research Division: Horst Schneider from HSBC. Just a quick follow up on the question that were asked regarding the 10% EBIT margin target at Mercedes. When you say that smart will dilute slightly the EBIT margins, how should we think about the timeframe that you will achieve the 10% target? Will that be still in your contract periods or until 2016, or should we rather expect that to be achieved rather beyond that? And then maybe just a last question is just a housekeeping issue regarding currencies. You said that you expect EUR 500 million to EUR 800 million burden this year, so what is the underlying assumption regarding FX rates?
Dieter E. Zetsche: I guess, that will bring luck to the smart business. When I said that the smart business will dilute the 10%, this, of course, does not exclude the possibility that the new smart will improve our average margin because the new smart will have higher margins than the old one. So it will take us closer to our 10% target on the timeline not within the portfolio. It's a new way to talk about my contract. I said yesterday that it doesn't make much sense in the first or second month of a contract to discuss about the length or any extensions so I won't do that. And we said we plan to reach the 10% target step-by-step. We have made, throughout last year, relevant steps in this direction and we will continue to do so.
Björn Scheib: Our next is Stuart. And after Stuart. It will be Philip.
Stuart Pearson - Exane BNP Paribas, Research Division: It's Stuart Pearson from Exane BNP. I just wanted to come back to China. And I think you mentioned you're planning on adding around 100 dealers there this year, obviously a phenomenal number. And obviously we should expect some significant growth from that, but are there any costs to that expansion we need to factor in? Any dealer support or financing from that perspective or potentially discounts, particularly on the C- and E-Class? What should we expect with China pricing? And when we pull that together, do you see 2014 as may be a transitional year for China profitability overall as we roll out that expansion, or can we already expect some significant growth or improvement in profitability this year?
Dieter E. Zetsche: As far as the dealer expansion is concerned, the percentage of dealers being established in new markets, which is new metropolitan markets, is much higher than it used to be in the past. And therefore, and of course, the additions in cities where we're already present, at least the plan is not to create inter-brand competition but to cope with growth in demand. So overall, we are very much convinced that these additional dealers will provide us with additional growth potential. We are not planning for any significant burdens coming from this expansion. Obviously, the investment is done by the dealers. We provide them with our first inventory, which is nice and doesn't burden our margins. So, no, this should not have a negative impact on our profitability. Overall, I think the transparency is pretty high as far as discounts in the Chinese market are concerned. One of our problems when we run into trouble in China were too high discounts, which did not create the normal price volume or follow the normal price volume curve, but to the opposite, it created doubts with our customers about the value of the brand, and therefore, rather depressed our volumes than supported them. We have not unlimited possibilities to impact the behavior of our dealers because of anti-trust reasons, but what we can do legally to minimize spending of our dealers in the retail market, we do, hence, we have seen very encouraging signs. Before I say that, their discount issue is not an issue across all of our car lines. It was specific to 2, 3 cars in the first place. One of them being the E-Class. With the new E-Class which, as you know, is facelifted, significantly facelifted E-Class. We have cut much-- the discounts in half, more or less, which is a major step for them, at the same time, almost tripled the volumes. So this basic understanding sounds absurd. The less discount we give, the more we sell. It's not just as easy. It seems to apply to some extent, and we see the next big opportunity with the C-Class following this year, as the S-Class has rather [indiscernible] than discounts, at least for the time being, it's basically the C- and E-Class where we had to fix the problem. And once again, it's encouraging what's happening there and, of course, we plan to continue that. Coming finally to your overall question, yes, we plan to improve our profitability in China in 2014.
Björn Scheib: All right, Philip and then Stephen.
Philip Watkins - Citigroup Inc, Research Division: Yes, it's Philip Watkins here from Citi. In terms of the autonomous driving. I know you said they're relatively early stage, but is there -- is it clear at all how much a fully-automated car will add to the cost of a car? And how much are consumers willing to buy? And when I look at sort of the value add for a carmaker versus a supplier, much of it actually is what the supplier makes. So how much value add do you get?
Dieter E. Zetsche: When we compare our approach in these fields with the one very present in the media of Google, a significant difference in the approach is that we work with limited resource on the sensor side and a lot of brain in their algorithms and their understanding of the sensor's information relative to traffic, which is surrounding the vehicle. As a consequence, the new S-Class and the new E-Class and the new C-Class include all the sensors we need once you order the distronic systems, and these have not distronic plus have not increased their pricing significantly because we don't have significant cost increases to the opposite. The one thing is this 2 stereo cameras, the other one is laser [indiscernible] field, costs are coming down because of volume going up. So overall, we are -- sorry, one more thing. When we did the 104-kilometer Bertha Benz drive fully autonomously, we added the same kind of sensors which are installed in our production car, 2 or 3 more of them, and with that, we added a cost piece which is less than EUR 1,000. And once again, the difference from Google and they have a lot of experience gathered in this field as well so I'm not making any criticism on that, it's just a different approach. It's that they put a lot of cost in the sensor, which is on the roof here and to our understanding is relatively high, 5-digit dollar price tag or cost tag in the first place. So answering your question, it's mainly understanding what are the main effects which can happen accident around you, understand the patterns you're seeing with your cameras and drawing the right conclusion out of that. And that's why we will go in the step-by-step approach. As you know, up to 30 kilometers, we are basically fully autonomous with the vehicle. Beyond that, it's not the technology which stops us, but it's the legal requirements. It doesn't mean that without legal constraints, we could be fully autonomous next week. But we will add significant steps in the following years, whether that's passing on highways, whether it's parking vehicles in parking lots, all of these things will be added step-by-step, mostly guided by the greatest benefits to the customer. So there are areas where you have high effort and less benefit to the customers. We address the opposite ones, of course, first. So it's not a big cost issue. It's a lot of research, a lot of R&D. It's a lot of knowhow we have gathered and we will continue to gather and sort of data points, but it's not a lot of hardware.
Björn Scheib: Now it's Stephen and Jochen and then Max.
Stephen Reitman - Societe Generale Cross Asset Research: Stephen Reitman, Societe Generale in London. Returning to China again, you mentioned 75 new dealers in 2013 and I think target of 100 this year. And you alluded to the fact that more efforts are in setting up in the new Metropolitan areas. Would you have roughly an idea of given a scenario of the proportion of these new dealers that are part of Lei Shing Hong group and how much are not affiliated to Lei Shing Hong, so in other words, reducing that? And also just -- sorry, on China as well, with the launch of the facelifted E-Class, you cut production in the course of 2013, I think, in order to make sure that -- local production in order to make sure the dealers sold their inventories before they got the facelifted car? You obviously had a good start to 2014 in China, a very strong sales -- retail sales growth already. Do you think you can actually -- that you will have a lower dealer inventory of the old shape C-Class, so you'll be able to do a smoother, a quicker ramp given that you've launched, but if you can get a sort of bit of a ramp on the new C-Class.
Dieter E. Zetsche: Obviously, when we introduced the E-Class originally, 2012, we did not manage the transition very well. And some of the following problems were caused by that. That's why we are very focused on that topic. You rightfully mentioned that it went well with the facelift of the E-Class, and we are very confident that we will run with very low current C-Class inventory at dealer, at shop floors to the new one. If there were, there's no sign whatsoever, if there were more inventory than we would like to see, we will delay the launch, so that's very simple. We clearly will start the new C-Class with a low inventory on the old one, but this will happen at the planned time because we are selling the current C-Class in a very satisfying manner. And the current inventories across all lines are very good.
Jochen Gehrke - Deutsche Bank AG, Research Division: Jochen Gehrke, Deutsche Bank. Just on the outlook for 2014 and the target to grow EBIT significantly, I think on the Mercedes side, it's going to be the usual first quarter is the trickiest part and then we grow as we go through the year. On the trucks side, I think that this year is a lot -- there's a lot in the comps. On one side is the special effect with the changeover in Europe with the legislation. How -- should we think that sequentially the momentum is changing? On one side, you compare against very easy comps in the first quarter of 2013. On the other side, you have the Euro VI, Euro V transition in Europe. And within that, I think at the Capital Markets Day for trucks, you announced a couple of changes within the organization, integrating purchasing and development. Where are we on that? Is this part and the benefits from that in the outlook for significant growth of EBIT or does it take longer?
Dieter E. Zetsche: First of all, with respect to guidance, we have -- so far I've talked about Europe to some extent. We have to also look in the U.S. and NAFTA. I mentioned already that Europe, we are off to a slower start but as expected. In U.S., we are very happy with order intake. We see huge activity in U.S. Order intake is very good. Interestingly enough not driven by the big fleets, but by the dealers and by rental, which is a good sign. In -- as Brazil, I already mentioned, early to say. Turkey, which is also another candidate for observation, so far so good. I would say order intake is still good. And we hope that continues throughout the year despite the fact that in Turkey we have some issues. Asia is good so far. We have good momentum still in Indonesia, which is another candidate for concern. So in that sense, we expect that the business throughout the year 2014 will be driven by our good product lineup that we have, which is completed now and which should give us a lot of push, driven by a good U.S. business and NAFTA business, and of course, should be pushed through our Daimler Truck #1 program, which is on track. In order to facilitate the progress of this program, we made some organizational changes. Our plan was that until the end of the year, we've accomplished that. The organizations -- organizational changes were to putting together the purchasing department, engineering department in 1 department. So the communication between those 2 is much easier now there. It's just one responsibility basically covering material costs, which is the big portion of our costs. And with that putting into effect and it's already working, we are very confident that our Daimler Truck #1 efficiency program will be successfully completed by the end of this year. So another push for earnings this year should also be that program that is underway. We met our targets last year. We're confident that also this year, we will be successful.
Jochen Gehrke - Deutsche Bank AG, Research Division: Sorry, if I just may follow-up. So that basically doesn't mean that the significant increase in earnings is something that is achieved practically in Q1 because you have very low comps. You're implying to us that throughout the year 2014, sequentially, you want to get closer to what was long around an 8% margin target?
Bodo K. Uebber: Yes, I think 2014 with all the uncertainties that--there's risks that we still have in the marketplace, we are confident that we will move another good step towards our 8% target.
Dieter E. Zetsche: I had to add one answer, which I missed for the question before, LSH, the percentage in last year and in this year should be around a little below 30%, around 30%.
Björn Scheib: So the next now is Max, then it's Frank and then Michael.
Max Warburton - Sanford C. Bernstein & Co., LLC., Research Division: Max Warburton from Bernstein. Could we return to the subject of platform costs? The small car programs obviously have been a tremendous, tremendous success in volume terms. But as analysts, we're all trying to figure out what it means for margins in the medium term as Mercedes comes down into the segment more successfully. But one of the indications for us outsiders is Nissan's decision to use the platform on one of their products as a bit of an endorsement that the cost structure's very, very competitive. Could you give us your perspectives on where Mercedes is now, particularly vis-à-vis the mass market brand? You've got MQB at Volkswagen, which a number of companies says, undone -- undoes a lot of the work done by Wolfgang and his team when he was there and turned Golf Mark V into Golf Mark VI and that the cost has gone back up again. Are we now at a point where a premium brand, like Mercedes, has lower material cost in this segment than a mass market brand like a Volkswagen?
Dieter E. Zetsche: When we were planning the current generation of front-wheel drive vehicles, or MFA, we were entertaining a number of discussions with BMW, with Fiat, with Volkswagen to check whether it could make sense to do something together. And of course, in the starting phase, Chrysler was part of DaimlerChrysler. And we knew very well what the cost structure was there. Our conclusion or what we were kind of surprised of was that there was not much to gain in working together with any one of them as the difference was not in the first place, the variable cost, but the much lower allocation of fixed cost, not because we are such an inefficient headquarter, heavy company but because we are running at 1.5 million vehicles and volume manufacturers running at 7 million, 8 million, whatever million vehicles. So why we are running with similar revenues? So the absolute portion of allocated fixed cost to a vehicle is the bigger difference in this small car segment than the variable cost. And I think it's somewhat plausible as well that the scale has a very strong impact when you go from 10,000 to 50,000 to 100,000 to 500,000 units. When you go to 500,000 to 1 million to 2 million, of course, the scale improvement is much lower. In most cases, you have to go to 2 suppliers anyway with these kinds of volumes. And therefore, I do believe that already today, we have a pretty good cost position with our MFA vehicles. We are very deep in the final conceptual phase for their successor. And based on our pricing power, we see chances to take the next generation in that segment based on the volumes we have achieved. And we think we can add still by now much, much closer to our overall margin target than I think is usual in the segment and possible for others in volume players in the segment. So I do believe that they're already by today, but much more with the next generation. The big growth opportunity on compacts will not have a significant burden in the sense of dilution on our overall margins.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: Frank Biller from LBBW. Question on brand segment here. You're targeting for 2014 a significant rise in unit sales, but only a stable earnings, which means lower margin here. In case -- so here my question is why are you expecting a lower margin? You have the new Sprinter coming, the new Vito V-Class is coming. Is it related to new product introduction costs, or is it more on the competition side that you are targeting or going against the Volkswagen products with your new V-Class and paying a price for that?
Dieter E. Zetsche: One minor effect is that some of the increase is coming from the small van, which of course, runs with lower margins. But that's only a minor effect. The main effect -- a little bit is Russia. But the main effect is simply the new V-Class and new V2, but not, not because we would plan for lower margins or cause of competition. To the opposite, we think that this new vehicle will significantly improve our margins. And it now takes the quality of that product to a clear Mercedes level where we definitely beat all the other guys be in this segment at very competitive costs because this vehicle very much leverages our modules from the passenger car side as well. And we have an additional version for the commercial application, the V2 as well with a lower cost basis. So overall, we think we will take the profitability of the vans in that segment to the next level. But the transition, of course, is costing money. And therefore, this year has this impact and next year will look much better.
Michael Raab - Kepler Cheuvreux, Research Division: Michael Raab, Kepler Cheuvreux. We talked a lot about savings and cost efficiency, specifically on the Mercedes-Benz side. I'd like to put that a little bit in the context of some of your recent comments in Detroit where you basically mentioned that you seem to be ahead of your EUR 2 billion cost efficiency target at Mercedes-Benz. Is it fair to assume that one of the drivers of this positive deviation relative to your plans isn't your cost side, and hence, the volume's running better than anticipated?
Dieter E. Zetsche: Yes, first of all, what I at least intended to say, there was not that we would shoot for higher level, than EUR 2 billion. We definitely would take that if we can get there, but this is not the current expectation. But what I wanted to say is, first, that in 2013, we have taken a bigger part of this reduction than we expected, about 40% instead of 30%. And that the same likely, probably will apply for 2014 as well. When we said that we get to 70%, 80% of the total, this is more than we originally expected. What the overall achievement then will be -- we will see when we get there. We are very successful on the material side as well. We are seeing already overall -- I don't know whether I should say negative or positive developments of the Bill of Materials. It means the Bill of Material is coming down, which is positive. So ahead of our plan last year, and we intend to do the same this year. So this is working very well, but not because of higher multiplier resulting from higher volume, but just because that we're doing a good job between commercial and continuous improvements from R&D on this field, but in the other cost areas as well.
Christian Breitsprecher - Macquarie Research: Christian Breitsprecher from Macquarie. I have a question regarding the changes in your management structure going from regional to more product focus or brand focus. How far down the line are you there? Is that related with any cost, or will you end up -- well, I mean you could see that maybe we'll end up with more overhead, or do we end up with significantly less overhead? Where are we now, and what are the benefits?
Dieter E. Zetsche: There are different elements. One is what we put in a basket has had its quarter cost, which comprises in the first place, things like the Finance department or HR and so on. In this field, we have seen a continuous positive -- good development of the cost side and a significant reduction in percentage of revenues related to these activities. When it comes to our customer dedication, as we have called it, we have as a main effect the fact that mostly in the wholesale side in the markets, we separated the combined sales organizations into truck, van and car organizations in order to include them into the business units, and therefore, have a fully integrated business operations, which we think makes a lot of sense. In this case, in the transition, we had slight increases, nothing dramatic. And this was not meant to be efficiency program, but it was meant to be an effectiveness program. So we wanted to do better serve our customers, and therefore, hopefully, ultimately result in better market shares and better price realization. But the increase is marginal and will be addressed over time to reduce that again. On top of that, that is the main thrust of that, but at the same time again, in HR, in Finance and Strategy in other places, the organization followed this pattern to be supporters to the business units, and thereby -- therefore have an organization, which follows in the different lines, the business units. On top of that, on the Mercedes car side, we have so-called product groups where, of course, direction we have done that all the time, but the impacts has been increased dramatically where we work in a cross-functional way from the get-go, from the very early concept phase, and therefore, try to overcome their target conflicts between manufacturing, R&D, material and so on in the early concept phase and not hoping that this will be solved throughout the development. And this is both changing the culture dramatically in the sense of we are one team and we're getting great results and already producing tangible results as far as cost targets, accomplishment of cost targets. When we saw this, we think very positive development on the free cash flow side to last year. A major impact resulted on the integrated effort to address onetime spending across all functions, and we were very successful in this regard. So I would see that organizational further development as, at least, as significant and with as great potential as the customer dedication I was talking about before.
Björn Scheib: It's Michael then Philippe and then Arndt again.
Michael Punzet - DZ Bank AG, Research Division: Michael Punzet, DZ Bank. Only one question , can you give us any kind of guidance for the special reported items in 2014, split it into the divisions?
Dieter E. Zetsche: There are currently no special effects we are planning for. There's only one in 2014 that we have addressed, that we will spend money for trucks. With regard to the German and the Brazilian piece, as we did in 2013, we plan for up to EUR 150 million of special charges in this, in the year 2014. That's it. Of course, for the time being, there might be happening something during the year. But as of today, there's no special effect as the one I have told you.
Michael Punzet - DZ Bank AG, Research Division: Is there no response to this point of view that you will see additional special items in the Mercedes-Benz Cars with regard to alternative drive plans?
Bodo K. Uebber: Well, I can't exclude that. You know that we have given -- we have charged for the special amount in the year 2013 and we have disclosed also the effect of 2012. With regard to the -- we did an impairment on devaluation of certain assets with regard to their assessment on the market development, sales expectations and the competitive environment. In this regard, of course, I can't exclude it for 2014. Again, we are in M&A transactions with regard to the battery area, as you know. And therefore, I make this statement also for 2014.
Dieter E. Zetsche: If we would see anything more, it would have to find its entrance in the books of 2013 obviously, if we're aware of it today.
Philippe Houchois - UBS Investment Bank, Research Division: Philippe Houchois, UBS. Question for Bodo. On the Financial Services side, where do you stand in terms of Tier 1 capital ratios? And are you comfortable you don't have to put more equity in the bank in 2014?
Bodo K. Uebber: By end of the year 2013, we had EUR 6.6 billion equity in Financial Services, which gets us to a ratio of 7.4%. We have, I think, last -- in 2013, we disclosed that we have added equity in the Mercedes-Benz Bank where we have to raise the ratio. We don't have to do so everywhere in the world, but tentatively, we shoot for bringing Financial Services to around 8% so that we have -- so to say, if you might say so, a gap of 0.5%, which is EUR 400 million to EUR 500 million. And this we do over the course of the next 2 years. In 2013, we had a good year, so we could offset the equity contributions with the dividends from Financial Services and that we might change a bit. So it means we -- the dividend payment for Financial Services, we might reduce by half, invest the other piece into growth and into improvement of the equity ratio. So it's a, I would say it's a piece of EUR 500 million roughly. So it's -- I do think in the current environment where we always had liquidity and so on and so forth, I do think a reasonable number.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: Arndt Ellinghorst again. Doctor Zetsche, I have to ask that question. It's been asked yesterday. I'm not asking about your contract, but there's been a lot of talk obviously after Andreas Renschler moved on. So you seem to be pretty much alive and kicking and ambitious to move forward. You're just a month in your new contract. Can you talk to us what are your -- are there any bigger projects for the next 3 years that you have in mind? Are there any bigger changes for the business that you have in mind, or is it more serving the wave of the current success, building it out in the different business divisions? Anything you want to share with us today? And in that context, can you talk about the competitive landscape in premium cars, and how you think that will play out over the next couple of years, maybe compare yourself to Audi and BMW?
Dieter E. Zetsche: Well, obviously, the world continues to change. And while on the one hand, we are very confident that the strategy we have set up several years ago is working and is producing results. If we were to just continue to do our homework and not develop more elements going forward, we definitely would fall back, I mean that's obvious. And therefore, of course, our main -- I don't know, but a very significant part of our task is strategic and to see what kind of future challenges we do believe will develop for the future opportunities we'll see on the horizon and try to further develop our business into the most successful competitor in this changing environment. The other part we should use to execute the existing strategy and to run operations as smoothly as possible. And this is not a meeting today where we would announce further building blocks of their further development of our company. But of course, there will be time to do that. Today, we have talked about our 4 main strategic pillars, which apply to all of our businesses and try to explain why we think they continue to be relevant and why we're making progress on this. Based on that, we have many indications even though some of the outside yardsticks have become a little more questionable these days. We have many indications that the equity of our brand is growing, that the momentum around our brand is building. They are not identical in all markets and probably deemed fair thing to say that there's some delay in the German-speaking markets. But overall, that we see a very positive development of the momentum of our brands around the globe. And this is on the one hand, of course, very much driven by the product, the styling of our product, the technology of our product, which we are launching and vice versa. The growing momentum in our brand is fueling, of course, the demand for our products. This is always going both ways. When you look at longer periods, you typically see some brands building momentum for a certain period of time; at some point of time, slowing down, others coming. I have the feeling, you ask about my feeling, not everybody will agree with that, but I have the feeling that we are beginning of a very attractive curve as far as the Mercedes brand is concerned. They're closely interwoven with its product momentum. And it's not my task to judge about their competitors, but my feeling is that we are in the best part of this overall curve compared to our 2 main competitors right now.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: Could you say who you're winning volumes from most in these days with the new product? Is it like -- is your new customer coming from the Volkswagen moving up? Is it coming from Audi, BMW?
Dieter E. Zetsche: This is very diverse. When for instance in U.S., we're gaining 82% new customers with the CLA for our brand. Many of them have been volume car buyers before, but there's nice number of these customers coming from 3 series BMWs as well. Audi is, volume-wise, less relevant in the U.S. In other parts of the world, the gains we made in Europe with the new compacts have a higher source from the 2 main competitors than the one example I just mentioned. So it very much depends on the market. I mean, obviously in China, to a high extent, it's new customers and customers moving up the ladder. All together, they're coming from all parts from all directions. And we have never seen -- we always were a brand with high loyalty among its customer base. We have never been a brand with so much conquest power as we are right now. And if we were to succeed in applying the loyalty rates, which we used to have to these new customers joining us, we would have a very strong foundation for the future.
Björn Scheib: So now we take the final question from Stefan.
Stefan Burgstaller - Goldman Sachs Group Inc., Research Division: Stefan Burgstaller, Goldman Sachs. What a difference a year can make. You seem to be moving, as you say, gradually towards your margin targets, obviously helped by better markets, the products, the efficiency measures. I guess the next focus has to be sustainability of the reduced cyclicality. And you've alluded to some of the structural measures. And I guess a key partner in achieving those structural measures is other unions. Can you discuss a bit about the relationship of the board with the unions, and how do you intend to get them on site to really achieve the next step in your strategic development?
Dieter E. Zetsche: One aspect of our relationship, especially in recent times was that it is more public than with many of our competitors. So I would guess that not in all cases and all topics, there are discussions between labor representatives and management are totally smooth and in harmony, in other companies either. In our company, we have kind of an online report in the public what's going on. Other than that, we are coming from a history where Mercedes was set apart. I'm talking now almost decades ago where Mercedes was set apart as one of its kind where there was almost no competition. And this pretty much defined our labor relation as well. At that time, Audi was a volume brand. And BMW, when you go very long time back, was almost a target of acquisition by Daimler-Benz at that time, so they came from the opposite side. And certainly it's easier to entertain a good relationship when you go that path and when you have to go this direction. Today, we're in the middle of competition, and we can't afford to have different conditions than our competitors do. But in some areas, we do have. And that is, of course, a task for both sides to deal with that. So we have high expectations of our people for good reasons. At the same time, it's very easy to motivate them to come up with the best task because that's what they expect to do as well, so that is the positive of it clearly. And we have very strong people, very good people here. Overall, the relationship is good and we worked fine. There were some games being played a year ago with their whatever- objectives, probably not the ones, which have resulted. I would say that's past. 4 weeks after that, we continued on a normal business relationship and dealt with this as professionals, which is okay, I think, and should be done this way. There's some change ahead of us in the next weeks, in the leadership there. This might have some impact as well. But this is then more personnel-related than the overall relationship. I think it's good. I think we are creating results. And their understanding that we have to continue to drive structural change in this company is there. Still, we have to discuss in detail, and we'll not always agree. But the general understanding that we have to move on and become the most competitive on the cost side as well among our peers is there. And, therefore, I'm optimistic there.
Björn Scheib: Okay. So ladies and gentlemen, thank you very much for your questions and being with us. Also thank you very much, Dieter, Wolfgang and Bodo for taking the time to answer the questions today. Herewith, the official part of this Investor Relations conference ends. And also thank everybody on the Internet for joining us today. And for this, have a great weekend and goodbye.